Operator: Good morning and welcome to the EMC fourth quarter 2012 earnings conference call. All parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce your host, Mr. Tony Takazawa, Vice President, Global Investor Relations of EMC.
Tony Takazawa: Thank you. Good morning. Welcome to EMC’s call to discuss our financial results for the fourth quarter and full-year 2012. Today we are joined by EMC Chairman and CEO, Joe Tucci, and David Goulden, EMC President and COO. To kick things off, David will comment on our results and how these tie with the execution of our strategy and business operations. He will also discuss our outlook for the year 2013. Joe will then spend some time discussing his view of what is happening in the economy and IT, EMC’s vision and strategy and how EMC is helping customers navigate the massive transformation happening in IT regarding cloud, big data and trusted IT. After the prepared remarks, we will then open up the lines to take your questions. Today, we are providing you with our projected financial model for 2013. This model lays out all of the key assumptions and discrete financial expectations that are the foundation of our outlook this year. We hope that you find this model helpful in understanding our assumptions in context and in ensuring that these expectations are correctly incorporated into your models. This model is available as background in today’s slides and available for download in the investor relations section of emc.com. Please note that we will be referring to non-GAAP numbers in today’s presentation unless otherwise indicated. The reconciliation of our non-GAAP comments to our GAAP results can be found in the disclosure in today’s press release, supplemental schedules and the slides that accompany our presentation. As always, the call this morning will contain forward-looking statements and information concerning factors that could cause actual results to differ can be found in EMC’s filings with the US Securities and Exchange Commission. With that, it is now my pleasure to introduce David Goulden. David?
David Goulden: Thanks, Tony. Good morning, everyone, and thank you for joining us today. This morning we reported accelerated growth in Q4 with revenue up a solid 8% and non-GAAP EPS up 10% from last year’s Q4. Our differentiated strategy and unique value proposition enabled us to deliver very good results in the quarter and achieved record results for full-year with revenue up 9%, to $21.7 billion, non-GAAP earnings per share up 13% to $1.70 and free cash flow up 14% to $5 billion. In addition, in 2012, we delivered once again on our triple play, gaining market share, investing in the business and delivering leverage. I want to extend my thanks and congratulations to the many thousands of EMC and VMware people around the world who produced these strong results. Our strategy was our strength throughout a challenging 2012. Our three strategic pillars of cloud, big data and trust resonate strongly with our customers and remain a top priority for IT departments. EMC’s broad, best of breed portfolio gives us rich, differentiated basic capabilities to draw from as we work with our customers to transform both their IT departments and the businesses that IT supports. And customers are responding. Compared with IT spending growth of approximately 2%, we are pleased to achieve revenue growth of 9% in 2012. The challenges of complex and expensive IT infrastructures, data growth and security are at the core of the architectural shifts to cloud, big data and trusted IT. Our approach to cloud computing offers IT departments great efficiency control and choice. Once implemented, IT infrastructure can be managed in a more agile way, allowing IT to be more responsive to business needs. Big data is triggering new approaches for deriving business insights and new opportunities to expand revenue. And as security concerns create challenges for IT on every side, the ability for customers to have and offer trusted IT is a valuable advantage. Underpinning all of these macro IT trends is information growth. For many years, information storage and management have been near the top of customer priorities and this continues to be true. The continued explosion of information is an obvious reason storage takes precedence. An equally important factor is that information growth always exceeds IT budget growth so that customers constantly need help in influencing more efficient and cost-effective approaches to managing information and this is where EMC has really been able to make our mark. From our early days, EMC has been at the forefront of helping customers better handle the ongoing conflict between information growth and IT budgets. Earlier examples of these efforts include new storage approaches, with the introduction of standalone shared arrays, protection technologies like RAID5, or architectures like fiber channel SAN.More recently, EMC innovations and solutions have included capabilities such as scale-out architectures, virtual provisioning, automated tiering, Flash storage, compression, and data deduplication. It is absolutely essential that we in the industry provide these technologies to help customers more efficiently and cost-effectively manage the growth of information. Otherwise, customers will quickly be overwhelmed.Much of EMC’s long term success in this market is due to our ability to innovate and adapt with new technologies and approaches. In 2012, as the economy experienced a slowdown, the storage industry did as well. Tighter budgets prompted the increased use of storage efficiency technologies, and also caused many customers to keep their storage systems in service longer than they normally would.We’ve previously experienced each of these effects in varying degrees, and in 2012 they were both quite meaningful. But network storage still grew faster than IT spending in 2012, and we’re confident it will again in 2013.In spite of these headwinds, we were able to grow our storage business 6% in the quarter. Within this number, our network storage product revenue growth accelerated from Q3, and was also up 6% year on year, with growth pretty balanced between the high end and the mid-tier.Our continued investment in new storage technologies has positioned us at the forefront of many of the trends toward the user solutions like scale-out NAS and all-Flash storage. And while these currently represent a relatively small portion of our storage business, they’re growing much more quickly and will become increasingly meaningful.Perhaps even more important is the fact that these new technologies and products are integral elements within our broad and the best-of-breed storage portfolio, particularly as the industry continues to transition to cloud.A good example of this is First National Technology Services, who provide advanced hosted and remote managed IT services to the financial industry. To stay competitive for customers with very demanding requirements, FNTS has to transition to a cloud infrastructure. By implementing VMAX with Flash and FAST, VNX for general purpose applications, VPLEX to eliminate downtime, and vSphere, FNTS was able to improve performance by a factor of three, improve disaster recovery, and completely eliminate migration-related downtime.FNTS deployed both our core VMAX and VNX product families so they could offer their customers the best capabilities depending upon the workloads. Our high-end scale-out block solution, VMAX, continues to set the standard for mission-critical data sets needing to scale with the best performance reliability and availability. This ongoing product leadership stems in part from our ability to take these attributes and deliver them in new and value-added ways.We did this by incorporating new media tiers, with Flash and high-capacity SATA drives, and then applying fully automated storage tiering to take full advantage of these tiers. By driving down the total cost, we can now accommodate data sets on VMAX that would never have been stored on a VMAX filled exclusively with fiber channel drives.Moreover, by extending the reach of VMAX to a lower price point, we’re now able to meet the needs of resource constrained customers or for use cases that don’t need all the capabilities of a high-end VMAX, but do need a powerful scale-out work performance that VMAX offers.Expanding our addressable market for VMAX has enabled us to add net new customers at an accelerated rate for several quarters in a row, and we’ll continue to expand our reach with VMAX cloud addition, which we plan to launch later this quarter.Growth in our VNX, and VNXE, products, also improved in Q4, as customers value the simplicity and efficiency of the VNX family. VNX plays an important role in our storage portfolio, because of its rich feature set on a unified platform.For instance, VNX boasts the tightest integration with VMware in the industry, and VMware integration can have a big impact on productivity. This was the case with Partena a social services organization in Europe, where integration between VNX and VMware cut administration time in half. Downtime was reduced from three hours per month to zero, thanks to the deployment of VNX with VPLEX to run active data centers over distance. In all, Partena reduced their operational and capital expenditures by 60% through rapid virtualization combined with the excellent performance and simplified management of VNX. The VNX product family won numerous awards in Q4 2012 with the most important ones coming from users themselves. Including, the Reader’s Choice award for best enterprise storage subsystem from Computerworld Asia, the Editor’s Choice Award with NYSE from HPC Wire and Best Enterprise NAS, according to an end-user survey by searchstorage.com. In a Search Storage survey, when users were asked would you buy this product again, EMC ranked number one for both enterprise NAS and for mid-range storage. Over the past several years, through R&D acquisitions, we’ve been enhancing our storage portfolio to better equip ourselves to address new growth opportunities. For instance, the majority of our VMAX and VNX arrays now ship with flash drive and fast software to leverage these drives by tiering the right data to the appropriate drives. Our backup and recovery business has been completely transformed by deduplication. Cloud environments and big data create new challenges for backup. Deduplication solutions, which streamline the process as much as possible, are in demand. Our purpose-built backup appliance, Data Domain, continued to grow in Q4. Avamar did very well sequentially but faced a tough year-on-year compare against Q4 ’11 growth of 50%. Not only have we enhanced our storage portfolio with efficiency technologies such as FAST and our backup portfolio with deduplication, we continue to expand our product line to fully address new and growing needs for next generation virtualized and cloud scale environment, products like VPLEX, Isilon, Atmos and VFCache. These are all technologies offering increased efficiencies and cost effectiveness. Energy from the acquisition of Isilon continues to contribute to our growth in storage. Isilon’s traditional strengths in life sciences and media and entertainment are broadening EMC’s customer base and EMC’s traditional install base is adopting the scale out power solution Isilon offers. This is evident looking at how Isilon’s customer base has changed. Two years ago, more than half of Isilon’s revenue came from media and entertainment and life sciences. Today, these verticals are still rapidly growing but now account for little over one-third of Isilon’s revenue. At the same time, verticals that were practically brand new to Isilon upon acquisition such as financial services are rapidly becoming more meaningful markets. A key win in Q4 illustrates why more verticals are adopting Isilon. One of the world’s largest financial services organizations struggling with capacity and scalability limitations adopted Isilon to power their rapidly growing archive and general NAS needs. Aside from the OpEx advantages of Isilon’s ease of management, the customer’s total cost of ownership analysis demonstrated a 2X increase in storage utilization, a dramatic reduction in days in the footprint and a 40% reduction in power and cooling costs. This was a great competitive displacement. Complementing the used case for Isilon is our object storage solution, Atmos, which ended 2012 with great momentum. Purpose built for cloud, Atmos supports the next generation web scale applications that enterprise and search providers are increasingly relying on. A global investment bank recently leveraged their Atmos infrastructure to do just that, are now running 70 different custom web applications on the Atmos infrastructure. You expect to hear much more from us around Atmos and cloud object storage in 2013. I am pleased to report that Atmos and Isilon together exited the year essentially at the $1 billion revenue run rate goal we set for ourselves when we acquired Isilon. Another rapidly emerging opportunity is the use of flash and enterprise storage, both in storage arrays, which we pioneered five years ago, as well as in the server market, a market we joined last year with our SLC-based VFCache products. This is an exciting space and one where the bulk of our opportunity lies ahead. Later this quarter, we will expand our presence in the PCIE attach flash market with an MLC-based product line that we believe is absolutely best in class. This was a rapidly growing market in 2012 where point products have become the norm. We’re excited to be introducing our new server flash line as part of the overall EMC solution. Our all-flash array, code-named Project X, is on track. When we more formally introduce it later this year, we expect it to be the very best, all-Flash storage rate in the market. And the feedback from our beta customers is outstanding.What will set EMC apart from the Flash startups in the market today is the breadth of our Flash portfolio. Users can work with EMC to find a Flash solution that best maps their particular workloads, whether it’s a hybrid array, an all-Flash array, or Flash in the server.So when you step back and look across our storage business, we have a large presence in our core markets, and we have incremental opportunities in many other, faster-growing areas. To capture these, we have a very exciting product roadmap, with numerous innovations, refreshes, and brand-new products that we rolled out over the course of this year.When we think about our biggest incremental opportunities, big data analytics is at the top of the list, with perhaps the furthest-reaching implications. The agility and power that EMC Greenplum brings this market drove very strong year on year growth for Greenplum in Q4. The combination of Greenplum’s analytic database with Hadoop implementation enabled us to win against established data warehouse vendors as well as newer Hadoop-based software providers.The combination of technologies is becoming increasingly important, because no single method can effectively support and examine today’s variety and volume of data in a timely manner. This was true at a global auto manufacturer who wanted to lower the carrying costs of inventory by getting a better handle on warranty parts. The Greenplum database changed the way the analysts used the data by enabling them to work interactively, near real-time, and materially increase productivity and results.Pivoting on this success, the customer extended their interest in analytics from warrantees to their assembly lines, where their traditional BI/DW architecture limited them to reducing one brand analysis every two weeks. After implementing Greenplum’s Hadoop-based analytics solution, Greenplum HD, they were able to do a brand analysis in 20 minutes. We expect to extend our success even further here with Greenplum as part of the pivotal initiative, which you’ll hear much more about at our strategic forum in March.As with big data, developing new solutions for new use cases is important in the other areas in which we compete: RSA, IIG, and VMware. At RSA, our strategy is to leverage the power of big data to respond to new security challenges. For some time, RSA has successfully competed using a data-centric, rather than a perimeter-focused, security strategy. This approach, using agile, contextual, risk-based criteria to set policy and monitor activity, is greatly enhanced by using big data.RSA’s intelligence-driven security solutions are using massive volumes of data and powerful analytics to develop new and better offerings to help customers manage risk and defend their critical digital resources. RSA continues to be successful helping customers get to trusted IT. While year on year revenue was down 3% in Q4, RSA finished 2012 up 7% for the full year.Growth in Q4 was notably impacted by two elements: SecurID continued to feel the effects of slower global employment growth as well as lingering remediation effects, and sales of enVision slowed dramatically ahead of the launch of our new security analytics suite.As threats to IT security seem to grow every day, we have a slate of new products and services being rolled out over the course of the year to help address these potential risks. Tomorrow, we’re launching our new security analytics suite, which gives customers powerful next-generation tools to manage compliance, security, and risk as one process.We’re also preparing for a major product launch in our industry-leading authentication portfolio. On the services side, we’re launching capabilities to help customers architect and build their security operations centers. We expect momentum from these new offerings to pick up over the course of the year, and result in higher full year growth for RSA in 2013.Revenue from our Information Intelligence Group was down 3% in Q4. IIG’s license revenue continued to grow sequentially as the changes this business has gone through over the past several quarters are beginning to bear fruit. As in other parts of our business, here too we’re innovating in ways that increase business agility, save time and cost, and reduce risks.Sanofi Pasteur recently benefited from this innovation with the adoption of our Documentum for Life Sciences solution, which gave IT a 4x productivity boost and a 20% reduction in TCO. In addition, this month we announced the beta availability of an on-premise storage option for (our syncplicity) to cloud-based online file sharing service, which can use the customer’s choice of Isilon or Atmos depending upon their need. With this new option, customers can still easily synch, access and share files with people (inaudible) the enterprise without sacrificing security or control. VMWare revenue grew 22% over last year’s fourth quarter and was up 22% for the full year. VMWare’s continued strong performance in Q4 was helped by the introduction of the v-cloud suite, which is VMWare’s first step towards delivering the software-defined data center. The v-cloud suite integrates VMWare’s virtulatization, availability, network and security and management portfolio into a single SKU. Through their three areas of strategic focus, software-defined data center, hybrid cloud and end user computing, VMWare helps customers make dramatic shifts to their IT infrastructures and the opportunity ahead is greater than it’s ever been. We have made a lot of progress over the last few years developing our go-to-market model and the benefit from these improvements continued in Q4. Just as our product portfolio offers customers options to select the solution that’s best for them, our go-to-market model also allows customers choice. With best of breed products, the proven infrastructure of VSPEX and the converged infrastructure of Vblocks, customers also have a range of flexibility in how they choose to move to the cloud. Getting to cloud, leveraging big data and building trusted IT for next year environments are fairly new initiatives for our customers. As a result, they’re looking to us to guide them. Many of our service wins in the quarter reflect these trends. In Q4, we achieved large wins for cloud platform build outs by the European Tax Authority, a US-based pharmaceutical company and an African service provider. We also won big data analytics services in the retail and energy sectors and governments risk and compliance services at a bank in Hong Kong, an engagement that included RSA Archer to launch an ongoing GRC status. Our channel program caps off a year of excellent progress, making working with EMC simpler, more predictable and more profitable for our channel partners. Over half our storage revenue goes through our channel partners and our focus is on making these partners more product. Our VSPEX solutions have gone a long way towards making this happen, especially in Q4 where we saw a significant ramp of VSPEX sold. After just two quarters since its launch, partners have sold more than 1300 VSPEX systems, which make it by far the fastest growing reference architecture in the market. Part (of) responding so enthusiastically because VSPEX offers wider choice of configurations and other reference architectures on the market today. With configuration options that include technology from Brocade, Cisco, Citrix, Intel, Microsoft and VMWare, VSPEX partners have much greater choice in creating solutions for customers. Furthermore, they can co-brand these solutions with EMC and make them their own to sell, service and support. Customers cannot take advantage of hybrid cloud without service providers that can offer reliable, enterprise-class external cloud services. As a result, we continue to expand our service provider partner program with 60 premier service provider partners in our program today who offer over 325 cloud services powered by EMC infrastructure. Our focus here is bearing fruit as revenue from these service provider partners accelerated in the quarter, up over 70% from Q4 last year. We saw demand for enterprise class cloud service continuing to ramp in Q4 and more of our own field reps are embracing the benefit of working with EMC service provider partners. Our VCE joint venture continues to lead the converged infrastructure market and was highlighted as the clear leader in Gartner’s first reports on the market for integrated infrastructure systems with Q2 ’12 market share of over 50%, more than twice the second place vendor on the list. VCE earned this wide lead by pioneering the market for truly converged infrastructure by the introduction of the Vblock product family. Vblock offers the benefits of rapid deployment, higher performance and higher availability while significantly lowering total cost of ownership. VCE hit an important milestone in Q4 with demand surpassing the $1 billion run rate. And another important milestone is in sight. On February 21st, all three CEOs of VCE’s parent companies will be part of its biggest product launch yet. With the market for converged infrastructure on fire, it is important to have the market fully covered, and we’ll do this with innovative product introductions to extend our market leadership.When we look back at the strides we’ve made in 2012 with our channel program, with our service provider partners, and with VCE, we see growth that is constantly in front of our corporate average for the year. Our initiatives here are the right ones for an IT landscape that is demanding increasing degrees of control, efficiency, and choice.Turning back to the financials, our continued strong results are a testament to the soundness of our strategy and our execution. Consolidated revenue grew 8% in Q4, led by growth in APJ of 19%, and in EMEA of 11%. Q4 performance in our BRIC plus 13 markets was also very good, up 17%. We’re actively pursuing the faster-growing opportunities that exist in these emerging markets, and we’re excited about our room for growth there.Operating margin expanded 120 basis points year on year to 27.5%, driven by improvements in gross margin. For the full year, operating margin was 24.9%, 100 points higher than in 2011. Non-operating expense for 2012 ended up lower than we projected due to some unforecasted FX and investment related gains.This was offset by our tax rate for 2012 of 23.5%, which was higher than expected due to a greater than expected share of profits coming from higher tax jurisdictions. Because the 2012 R&D Tax Credit was enacted on January 2, 2013, we cannot recognize this benefit in our 2012 GAAP results. To be consistent with our 2012 guidance methodology, we have included it in our non-GAAP tax rate for the fourth quarter and full year 2012.Our strong execution drove record free cash flow of $5 billion for 2012, $1.3 billion higher than 2012 non-GAAP net income. Contributing to this was continued strong growth in deferred revenue, up 22% to $7.6 billion at year end. Driven over the course of the year by strong maintenance in booking renewals, the expansion of deferred revenues helps balance our more transaction-oriented businesses with a growing stream of more predictable revenue.We continue to manage our cash prudently to meet our objectives of returning value to shareholders while making the right investments to keep us well-positioned for the long term. In 2012, we invested $2.1 billion in acquisitions, paid $1.7 billion to retire half our convertible debt, and returned $700 million to shareholders via buybacks. We ended the year with $11.4 billion in cash and investments. Half of this is in the U.S. Excluding VMware, EMC II has $4 billion of U.S. cash and investments.We plan to increase our buyback to $1 billion in 2013, and will continue to deploy our cash wisely throughout 2013 by making strategic and disciplined acquisitions and reinvesting in our business to drive growth.All in, 2012 was a year of very good progress in a challenging environment. We started off last year expecting to grow more than twice the rate of IT spend. As the spending environment declined over the course of the year, we continued to execute. We achieved our original goal for non-GAAP EPS, archived 99% of our original revenue goal, and in the end grew four times faster than the rate of IT spend in 2012.Our performance in 2012 demonstrates our focus, discipline, and most of all the strength of our strategy and of the EMC team. As we look to 2013 and beyond, our strategy continues to be focused on cloud, big data, and trusted IT. Some of our newer businesses, including emerging storage technologies, advanced security, big data, and the software-defined data center, represent our biggest growth opportunities.These are areas of opportunity that persist in even slow or no-growth economic environments, and we’re investing here to achieve our vision. We are confident that by applying the focus and discipline that we’ve become known for, to a strategy that is resolutely focused on delivering the best technology for cloud, big data, and trusted IT, that we will continue to deliver value to our customers and shareholders.With this as our focus, and with another record year behind us, we enter 2013 even better positioned. Last year, we continued to execute upon our triple play, gaining market share, reinvesting in the business, and delivering leverage, and we fully intend to continue delivering on this commitment in 2013.Looking at 2013, we expect IT spend to grow at 3% for the year. EMC revenue will grow faster, 8%, to $23.5 billion. Operating margins will increase to approximately 5.5%. Other operating expense will be $280 million and the tax rate will be approximately 23.5%. Taking all these factors into account, we expect 2013 EPS to grow faster than revenue to $1.85 per share. To help you with your modeling, there are three other assumptions you should consider. First, we’ve modeled our revenue to follow a seasonally normal percentage of total for each quarter of the year. Second, because 2012 did not follow a seasonally normal progression, first half of revenue growth in 2013, will be lower than the full-year average of 8% and second half revenue growth will be higher than 8%. And third, this revenue growth pattern means that while we’ll show operating and EPS leverage for the year, the leverage benefit will come in the second half of the year. We are entering 2013 confident that we are pursuing a strategy that will serve us and our customers well. We will continue to develop our portfolio best of breed solutions and you’ll see many new product announcements throughout 2013. We’ll continue to invest in our go-to-market to expand our reach and provide customers with the broadest choice in accessing IT with either product or via a service provider. In short, we’ll continue to dedicate ourselves to helping our customers transform their IT infrastructures to fully leverage the benefits of cloud, big data and trust. With that, I will turn it over to Joe. Joe?
Joe Tucci: Thank you, David, and my thanks to everyone who has joined us for today’s call. As always, we appreciate your interest in EMC. Overall, I was pleased with our performance in Q4. In last quarter’s call, we indicated that we believed Q3 would be the low point of the year in regards to our year-on-year growth rate and, in fact, that was the case. In Q4, we accelerated our growth rate from Q3 by more than two percentage points and achieved our first $6 billion plus quarter. To add a little color about the quarter, we did see a moderate budget flush but customers continued to be cautious with their IT acquisitions, making sure they lead to acceptable ROIs, increased productivity and innovation. We also saw a quarter that was back-end loaded. We had a strong December. We saw Europe have more predictability and good growth. We experienced significant interest and adoption of private (carved) models. We realized a 17% year-over-year growth rate in our brick plus plus countries. And we had a very strong growth in Greenplum and our big data assets. From a vertical perspective, we saw high growth with service providers, good growth in financial services, telecomm and the media and entertainment industries and a lower growth in public sector and manufacturing. Additionally, and very importantly, we believe in closing out Q4 we positioned ourselves well for 2013. Looking at the full year of 2012 against our goals of $22 billion in revenue, $1.70 per share of non-GAAP EPS and $4.9 billion of free cash flow, we just slightly missed our revenue goal, we hit our EPS goal and exceeded our free cash flow goal. Given the uncertain macro environment, I truly believe we executed very well and took share across a vast majority of markets in which we compete. I want to thank the 60,000 EMC and VMWare people around the world along with our valued partners for their excellence in execution and for their dedication to our customers and their success. I am very proud of all of you. Without a doubt, what underpinned our success in Q4 and in 2012 was a crisp execution of our strategy and our business model. We are squarely focused on several of the hottest areas in IT: cloud computing, big data and trust. I would now like to turn to 2013. This year we expect global IT spending to grow around 3% with Asia Pacific, excluding Japan, Latin America, the Middle East, Africa and North America being above that average, with Western Europe and Japan being below.
Tony Takazawa: The other thing is I always look at the product cycles and we have extremely exciting product cycles this year and a lot of refreshes. We have a huge base, so these things together give us a lot of confidence and our strategic reach I think, as I delineated, the six or seven priorities we have for the company. These are really well placed and if you look at the CIO priorities for their spending, the map extremely well, so we’re in a good space. Customers understand they need to invest and they are. They move from cautious to I think what I call a cautious optimism. David, do you want to add anything?
Operator: The other thing is I always look at the product cycles and we have extremely exciting product cycles this year and a lot of refreshes. We have a huge base, so these things together give us a lot of confidence and our strategic reach I think, as I delineated, the six or seven priorities we have for the company. These are really well placed and if you look at the CIO priorities for their spending, the map extremely well, so we’re in a good space. Customers understand they need to invest and they are. They move from cautious to I think what I call a cautious optimism. David, do you want to add anything?
Keith Bachman - Bank of Montreal: The other thing is I always look at the product cycles and we have extremely exciting product cycles this year and a lot of refreshes. We have a huge base, so these things together give us a lot of confidence and our strategic reach I think, as I delineated, the six or seven priorities we have for the company. These are really well placed and if you look at the CIO priorities for their spending, the map extremely well, so we’re in a good space. Customers understand they need to invest and they are. They move from cautious to I think what I call a cautious optimism. David, do you want to add anything?
Joseph Tucci: The other thing is I always look at the product cycles and we have extremely exciting product cycles this year and a lot of refreshes. We have a huge base, so these things together give us a lot of confidence and our strategic reach I think, as I delineated, the six or seven priorities we have for the company. These are really well placed and if you look at the CIO priorities for their spending, the map extremely well, so we’re in a good space. Customers understand they need to invest and they are. They move from cautious to I think what I call a cautious optimism. David, do you want to add anything?
David Goulden: Yes, Keith, let me just pick up on that. So yes, you’re right. We are expecting a 6% growth ex VMWare, up from 5%. This year, a couple of other factors, network storage marketplace grew faster than IT spending in ’12. We do expect it to grow faster than IT spending in ’13. As Joe said, we expect a small uptick in IT spending growth in total from 2% in ’12 up to 3% in ’13, so that’s going to help us. Last but not least, just to reiterate what Joe said about the strength of the product cycle and what that can do for us and consistent with the macro guidance, of course, expect higher growth in the second half than in the first half. But your math is exactly correct. Last but not least, I’d just point out that we do expect to get a decent continued increase in operating leverage as well for the year, ex VMWare and, of course, with VMWare in the consolidated numbers as well.
Operator: Your next question comes from the line of Amit Daryanani – RBC Capital Markets.
Amit Daryanani – RBC Capital Markets: David, I think you touched on the success of Isilon and verticals outside the core areas they play and you talked about financials being a big success area. I’m curious when you look at these new verticals, is Isilon actually winning against some of the traditional competitors that they've had – I think in the past I talked about 80% displacement of NetApp-centric solutions. In the newer verticals, do you see it cannibalizing more of your traditional VNX product line?
David Goulden: No, I think that definitely when we look at the newer verticals where Isilon is having success is against the more traditional NAS players and the example that I referenced in my prepared remarks was against an existing NAS incumbent and I gave you all the facts and figures around that. I think what’s really exciting is that with the mavericks release that shipped on schedule right at the end of the fourth quarter, which obviously didn’t have much of an impact on Q4 numbers directly, but the potential is now there for 2013 for the aperture that we can focus on in Isilon to be that much wider. Just to recap what we did with mavericks, we certainly performed. We improved the year performance drastically, about 50% reduction in latency but then we added a lot of features around data protection, security and integration backup to VMWare and all of those together represent a quantum leap in terms of the size of the market that we can address. So yes, the new verticals will be a high part of the growth and it really is incremental market opportunity compared to where EMC’s traditional storage platforms play.
Operator: Your next question comes from the line of Aaron Rakers – Stifel Nicolaus.
Aaron Rakers – Stifel Nicolaus: Question building off of Keith’s prior comments. When you look at your two big storage buckets, you look at the high-end business growing 6%, the mid-tier business growing 5%. The high end in the past had been talked about being a lower-single digit growth rate. I guess my question is when you look at your guidance for 2013 and layering in some of these product cycles, do we expect the mid-tier segment to get back to a double-digit growth rate? And also within that, where do you guys recognize the Greenplum revenue and is there some point in 2013 a time that we break that out?
David Goulden: So the Greenplum revenue is in our storage revenue segment but it’s not in either high end or the mid-tier. It’s in the other bucket. If you added high-end to mid-tier and subtracted it from total storage product, you’ll see that there are a few other things in there. Greenplum is one of those things. In terms of breaking it out, we’ll tell you more about all the things that are going to go into the pivotal program and initiative when we get together in March. So whether we break it out specifically or not, we’ll certainly be breaking out more of the things that are part of that new program. So relative to your question on high-end to mid-tier, first of all, you’re right that mid-tier growth in the quarter was 5%. But if you look at the year, it was 9% and, as Joe and I both mentioned, we have a great roadmap coming up.
Operator:
Shelby Seyrafi - FBN Securities:
David Goulden:
Operator:
Kulbinder Garcha - Credit Suisse:
David Goulden:
Operator:
Andrew Nowinski - Piper Jaffray:
David Goulden: Andrew, there’s a couple of use cases that seems to be resonating particularly well for extreme IO. First, and obviously – let’s step back and talk about what extreme IO is. First of all, it’s a storage array and, secondly, it’s a storage array with rich data services and inbuilt dedup and the ability to do lots of snapshots. So when you think of the – and of course, very high performance. So you think of all those things together and the sweet spot are going to be data sets or work loads that really take maximum (inaudible). And a couple of areas come to mind and a couple of areas off (beta) that customers are using. First one is (VDI) where obviously there’s a lot of ability to do dedup across all the different work station images and need extreme performance, particularly when you’re booting up, potentially thousands of work stations in peak periods. Another big area is data base test and (def) where the ability to do all the snapshots and keep multiple copies are very important and efficient for those customers. So those are a couple of major use cases. In terms of the competitive environment, we’ll talk more about that. We are going to have a big flash launch in early March just before our analyst day but I think you know how all the all-flash array vendors are out there. Our customers have been using the extreme IO systems against all the popular candidates, so I won’t mention any by name. But as I said in my prepared remarks, we are very excited of the feedback from our beta customers and we generally do believe this is going to be the best all-flash array in the marketplace.
Operator: Your next question comes from the line of Ittai Kidron – Oppenheimer.
Ittai Kidron – Oppenheimer: First of all, guys, can you give some color on your views on the federal government vertical through 2013? And second, David, you’ve talked about 2012 having IT spend growth 2%, EMC 9%. ’13 we’re looking at IT accelerating actually to 3% and EMC declining to 8%. So clearly VMWare is part of the equation but I’m trying to understand if you can also benchmark what storage spending is going to be in 2013 versus ’12 and is there perhaps smaller and fewer opportunities for share regains for you in ’13 versus what you had in the past?
David Goulden: So first of all, you’re right that in 2012 we grew 9% in total against IT spend of 2% but let’s also put that into context of VMC x VMWare or EMC II that was 5% against IT spending of 2%. And in 2013, we’re forecasting to grow at 6% versus IT spending of 3%. So and as Joe said, we strive to meet or beat our goals. We’ve talked about our product cycle. So the fact that we’re still gaining share, we do plan to grow at twice the market in 2013, x VMWare. We grew at 2.5 times x VMWare in 2012, so I wouldn’t read too much into that. We look at potential – I don’t think it’s an issue of relative growth. We think we’ll be gaining a lot of share in both years. And as we said, we aim to meet and potentially exceed our goals.
Joe Tucci: On the federal landscape, Ittai, I’m just not sure. Let me give you two sides of it. I think we all agree and federal budgets will be tight this year for sure, tighter than last year. On the other side, what we all know intuitively and the federal government knows, that to really get the productivity they need you’ve got to invest in IT and you’ve got to do in some of the newer ways and there are tremendous opportunities for the federal government to utilize cloud and get real value out of big data. So the question is how will that materialize itself in an area that’s obviously more political, more bureaucratic by definition. So eventually they’re going to have to do what I said. How much they get done in 2013, how good a year it’ll be, I think it needs to be watched but I don’t think it’ll be a terrible year. I think it’ll take probably a while for them to through the political process make sure that they use IT to gain these productivity gains that they need.
Operator: Your next question comes from the line of Brian Alexander – Raymond James.
Brian Alexander – Raymond James:
Joseph Tucci:
Operator:
Steve Milunovich - UBS:
David Goulden:
Joseph Tucci:
Tony Takazawa:
Operator:
Abhey Lamba – Mizuho Securities: Speaking on the discussion about flash, Joe and David, how are the products that we are going to see later this year? When should we think about their ability to contribute meaningful revenues? Can it happen this year as customers are likely going to test and pilot them initially? So should we see an impact this year? And also, David, if you can touch upon the impact on your margins. Should we see a step up based on those.
David Goulden: So let me put that all into context with how – doing everything we’re going to do in March. Now, the first thing we’re going to bring to market from a customer, from a GA, general availability point of view, is going to be our new line of MLC-based PCIE flash cards for the server and those will start to revenue later this quarter into early next quarter and then the Project X will have a revenue impact more in the second half of this year, so both ramping up. But again, so they’ll be growing rapidly but obviously compared to a $23.5 billion business it’s not going to have a huge impact. The bigger impact is flash and the hybrid arrays, where, as I mentioned, over 50% include flash and that’s a big piece of the growth of our VNX and VMAX marketplace, so flash is having an impact on our growth rate. All flash products will be ramping this year and, in terms of bring able to move the needle against a $23.5 billion revenue line, that will be more something for 2014.
Joe Tucci: Well, again, thank you all for joining us and it goes without saying. We are really excited about our strategies and our strategic position around cloud, big data and trust. We know they’re well placed. We know they’re being extremely well received by our customers and our partners and we really look forward to sharing in depth with you on March 13th. So again, we – I think the strongest thing that I take a lot of solace in is we just have a great team here in EMC and VMWare. We have momentum and we’re extremely excited about our prospects to grow and take share. So again, thank you for being with us today and we’ll see you real soon.
Operator: Thanks for joining today’s conference. You may disconnect at this time.